Operator: Good day, ladies and gentlemen, and welcome to the TripAdvisor's Fourth Quarter 2016 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference is being recorded. I would now like to turn the conference over to Will Lyons, Vice President of Investor Relations. Please begin.
Will Lyons - TripAdvisor, Inc.: Thanks, Latoya. Good morning, everyone and welcome to our fourth quarter earnings conference call. Joining me today are Steve Kaufer, our CEO; and Ernst Teunissen, our CFO. Last night, after market closed, we distributed and filed our Q4 earnings release as well as made available our prepared remarks on our Investor Relations website located at ir.tripadvisor.com. In the release, you will find reconciliations of non-GAAP financial measures to the most comparable GAAP financial measures discussed on this call. Also, our IR website contains a supplemental financial information document which includes certain non-GAAP financial measures discussed on this call as well as other performance metrics. Instead of reading prepared remarks on this call, Steve will provide a couple of thoughts about the quarter and our recent progress as will Ernst and then we'll jump into Q&A. Before we begin, I'd like to remind you that this call may remain contain forward-looking estimates and statements that represent the company's views as of today February 16, 2016 (sic) [2017]. TripAdvisor disclaims any obligation to update these statements to reflect future events or circumstances. Please refer to our earnings release and our filings with the SEC for information concerning factors that could cause actual results to differ materially from those expressed or implied by such statements. And with that, I'll pass the call over to Steve.
Stephen Kaufer - TripAdvisor, Inc.: Thank you, Will, and good morning, everyone. Thank you for joining the call. Hopefully, you've had a chance to read our prepared remarks that we published last night after market close. I'll summarize by saying, 2016 was an important year for TripAdvisor. We continued on our journey towards our North Star building the best end-to-end user experience in travel. While our accelerated instant booking launch garnered most of the headlines during the year, it was but one of many ongoing initiatives that positions our business for long-term growth. At $1.3 trillion in global spend, the travel opportunity is large and growing and remains intensely competitive. We have a lot of work to do to capture our fair share, but we believe we are now very well positioned. As we move into 2017, we see faster revenue growth ahead. We are considering certain marketing investments to accelerate the user perception shift to TripAdvisor as not only the best review site, but also the best place to compare prices and book. Ernst?
Ernst J. Teunissen - TripAdvisor, Inc.: Thanks, Steve, and good morning, everyone. As expected, 2016 was a challenging year financially with consolidated revenues, GAAP net income, and adjusted EBITDA down 1%, 39%, and 24% respectively. Coming out of this transition year, we are encouraged by recent trends particularly in our U.S. market where we have completely lapped our instant booking rollout. We will lap the majority of the international rollout this quarter and will continue to invest behind improving monetization trends to enhance revenue growth. Amidst a competitive travel landscape, we are prioritizing revenue growth as opposed to profit growth this year. We believe this journey will pay off financially, but as I had mentioned before, it will take time. We're moving fast, we're learning and improving and we believe that we are on the path to maximize long-term shareholder value and long-term growth. With that, we'll open the call for questions.
Operator: Thank you. We ask that you please limit yourself to one question and a follow-up. The first question is from Mark Mahaney of RBC Capital Markets. Your line is open.
Mark Mahaney - RBC Capital Markets LLC: Great. Thanks. Could you provide your updated thoughts on the monetization gap between desktop and mobile that TripAdvisor is seeing now? Thank you.
Stephen Kaufer - TripAdvisor, Inc.: Yes. We've seen significant growth in shoppers in the fourth quarter. We saw 22% growth of shoppers. But we saw revenue grow less fast in the fourth quarter, and if we look at the overall year, revenue per shopper for the phone was relatively flat year-on-year, that was better in the first half of the year. And as we discussed on our third quarter call, we made some changes to the app, which we believe position us better for long-term, particularly being more instant booking centric than it was before, which gave us some monetization hit. That overall improved – so these trends overall improved the mobile gap year-on-year versus desktop. But there's still work to do on improving the revenue per shopper on mobile, which we're continuing to target in 2017.
Mark Mahaney - RBC Capital Markets LLC: Thank you.
Operator: Thank you. The next question is from Mike Olson of Piper Jaffray. Your line is open.
Mike J. Olson - Piper Jaffray & Co.: Hey. Good morning. What can you say about instant book conversion versus meta and the difference domestically versus internationally? And then secondly, can you talk about where instant book commission rates stand relative to being fixed rates versus transitioning into an auction-based system? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Sure. So again, it's a little hard to evaluate instant book conversions in isolation, because it really portends the change in user experience where someone's coming through the flow and they may not convert the first time, but it engages them enough to come back to the site. And when someone does in fact go down the instant book path, they do, in fact, come back more frequently to TripAdvisor, if they hadn't booked first time around than the second time. When we look at the instant book conversion, because we now have better pricing in the store, because we've done our optimizations, you've seen the kind of the raw numbers increase about 20% year-on-year for our U.S. desktop. So, we're pleased with that. We still have a ways to go, though. When we look at the second part of your question with respect to – sorry, the second part of the question was?
Ernst J. Teunissen - TripAdvisor, Inc.: Fixed versus variable.
Stephen Kaufer - TripAdvisor, Inc.: Yeah, fixed versus variable on auction. Sorry about that. We already have the system in place whereby our partners can sort of bid a different commission level for their properties and that is one of the factors that is taken into account when we decide who wins the instant booking offering. So yes, we already take into account the commission offered to us by way of an auction, but I wouldn't suggest that, that's a big monetization opportunity for us going forward. It's auction-based, it will help; but the bigger piece is really going to be the consumer intent coming to the site.
Mike J. Olson - Piper Jaffray & Co.: All right. Thank you.
Operator: Thank you. The next question is from Scott Devitt of Stifel. Your line is open.
Scott Devitt - Stifel, Nicolaus & Co., Inc.: Thank you. I have two. First, on that brand marketing in 2017, can you just talk about the factors in terms of determining whether you'll embark on that campaign or not? And then secondly, Expedia mentioned on their call they wouldn't be fully participating in direct book, I think, through 2017 and 2018. Can you talk about the level of inventory that you have in the system now in terms of how complete you have for availability without their full participation? And then, also what the factors are for Expedia becoming a full participant? Thank you.
Stephen Kaufer - TripAdvisor, Inc.: Sure. Let me take the second part of the question first. When we think of Expedia as an instant book client, we think of a number of different pieces. It's Expedia, and Hotels.com, and what if, and Hotwire and Travelocity and Orbitz and all the different brands; that's one component. Then there's how much inventory do we get from each of the brands, and then there's how active can they be in our auction in each market. So, the most important thing to us, and I think the most important thing to Expedia – well, I'll just speak for us, the most important thing to us is to actually have all of the best pricing from all of the Expedia brands. And we have that in the U.S. now and we're well on our way to getting that in the rest of the world. Most of the brands are online now, I don't think all of them are, but we're getting the biggest bang for the buck from our perspective in terms of when they have excellent pricing we're able to use show it in our store. I think part of the confusion is the limitations that we have in terms of rolling out Expedia and enabling them as an OTA partner to compete in each and every auction around the globe. And some of that, as has been alluded to before, it's just a question of timing. We think the biggest impact that Expedia instant book for us is already evident in the markets that it's rolled out in and it will continue to rollout in other markets over the course of the year. So, we're very pleased, and of course, Expedia is looking forward to being able to participate in more auctions over time and drive more bookings from us as a platform. So two thumbs up on that one. When it comes to the brand marketing, we're excited by what we've seen in terms of improvements once we lapped IB in fourth quarter and into January. When we look at all the different pieces of the puzzle, we want to make sure that the product is solid, not just in instant book pricing, but also in the entire flow. We want to make sure that our message is resonating with consumers and we'll be evaluating the scope and timing. So to be clear, we're in evaluation mode, so that tells you we're serious about it, but we won't be spending in Q1. And we'll give you an update as we move forward with that decision process.
Scott Devitt - Stifel, Nicolaus & Co., Inc.: Thanks, Steve.
Stephen Kaufer - TripAdvisor, Inc.: Thank you.
Operator: Thank you. The next question is from Perry Gold of MoffettNathanson. Your line is open.
Perry Gold - MoffettNathanson LLC: Great. Thanks so much for taking the question. While sequential improvement in the growth of Trip's click-based ad revenue line was actually fairly robust this quarter, can you help us better understand why some of the other revenue lines like display and subscription and non-hotel revenue were a bit softer sequentially? Were these all traffic-related issues or were there some other underlying factors here? Thanks so much.
Ernst J. Teunissen - TripAdvisor, Inc.: Yes, Perry. This is Ernst. You're correct to highlight those lines, and they were relatively soft in the fourth quarter compared to the full-year trends and also compared to our anticipation going forward in 2017. The drivers were a little different. On our subscription and display business there was some seasonality. Sometimes, especially in our display business, the end of the year is lumpy, and we saw some softness in that, that we don't necessarily project going forward. Our Other hotel revenue is mostly driven by our SmarterTravel brands, and here also we saw some softness that was mostly traffic-related for them. Other revenue as a category was up for us for the full-year. It was meaningfully down, of course, in the fourth quarter; and again, that is not a trend that we expect to continue into the following year.
Perry Gold - MoffettNathanson LLC: Great. Thanks, Ernst.
Operator: Thank you. The next question is from Naved Khan of Cantor Fitzgerald. Your line is open.
Naved Khan - Cantor Fitzgerald Securities: Yeah. Thank you very much. I had a question on competition and margins. So some of the other players in the space like Trivago are going pretty fast and they're also spending a ton of money on TV advertising. And obviously, they have pretty low margins. So, the question is really, if you go out and start a brand advertising campaign, how do you see your margins evolving longer-term? Do you think they could be as low as where your competitors are? And any comments on Priceline's acquisition of Momondo?
Stephen Kaufer - TripAdvisor, Inc.: Sure. So, when we look at the opportunity on TV, and as you know, we've been on TV in years past, we do have to note, tip our hat to the fact that other players in the industry have been on TV in many years and it's been working for them. We have a phenomenal amount of unaided and aided brand awareness in most parts of the world, and so our challenge with TV is a little bit different and some might say easier, some might say harder, of course. It's the challenge of delivering a different message, as people love us for reviews, if I were to overly generalize, and teaching them with the brand campaign that we're the best spot for price comparison and booking. And not necessarily completing the transaction on TripAdvisor with instant book, but what I really mean is with the campaign to educate folks that we're the site that they should come back to or come to when they're ready to make a transaction. And if they click off in our meta-auction to one of our great partners, amen. If they follow through and book on instant booking, that works just as well. And in general, we like to think of ourselves as reasonably indifferent in the two, with instant booking providing probably a more strategic advantage to us on the phone. So, I think to the question of impact on margins, it's clearly an opportunity for us to invest, because if we can shift the perception of all of the folks that are already coming to TripAdvisor, let alone drive some new traffic, our revenue per shopper and the rest of our core metrics can potentially rise, fueling a lot of the additional growth in spend. So, we don't see a reason why margins would end up at current Trivago levels, that would be silly for a company of our size, but we do see it being a reasonable opportunity for us.
Ernst J. Teunissen - TripAdvisor, Inc.: And to add to that, as we said in our prepared remarks also that if we – and again, we're still in evaluation mode, but if we were to decide to pursue this brand investment, it would likely negatively impact near-term adjusted EBITDA. But we would make that investment really with an eye on the long-term, and we've made some commentary about where we see our profitability profile go over time. And we think that TV advertising could help, very importantly, help move that user perception and increase the monetization that we can get from our hotel shoppers, increase that revenue per shopper over time and thereby improve our economics. So, as we think about our long-term economics and we look at it in absolute EBITDA terms, we believe that our current strategy and potentially enhanced by brand marketing will allow us to grow profitability over the longer-term.
Stephen Kaufer - TripAdvisor, Inc.: And to your second question on the Priceline acquisition of Momondo, personally, I thought it was probably a pretty good move for them. Consolidation continues in the space, I think it gives Kayak a nice – a growth footprint outside of the U.S., which just makes them more of a global player, and that will help fuel downstream demand. In terms of our flights business, I'd be surprised if there ended up being a meaningful impact one way or the other.
Naved Khan - Cantor Fitzgerald Securities: Thank you.
Stephen Kaufer - TripAdvisor, Inc.: Thanks.
Operator: Thank you. The next question is from Justin Patterson of Raymond James. Your line is open.
Justin T. Patterson - Raymond James & Associates, Inc.: Great. Thank you very much. In terms of just the overall funnel here, we keep seeing the OTA is doing a lot more around things to do, Airbnb has its Guidebooks, Google has its trips product in the market. How do you envision that really affecting traffic? Is that something that TripAdvisor can start monetizing – or pushing out to its users a little bit better to help shopper growth organically? Or I guess is there something that Google and the others can do that potentially hurts your traffic a little bit more? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Sure, Justin. So, when we look at the attractions space and the things that Expedia is doing and Google is doing, we kind of view it as wonderful validation that the online community is ready for more booking before they actually arrive at a destination; or if they're using our app, booking while they are in market. So, we have to the best of our ability to count, the biggest and best supply for attractions. And so while there's many different ways to research, we have a heck of a lot of traffic and we have the best booking capabilities in most parts of the world. So, as users learn how to explore and book online, those transactions are more likely than not going to flow through us, even if they happen to start on a Google. Expedia is able to help someone who they already have going to a location, to a very popular location, find something to book. But we really have, I would argue, we have the long tail and plenty of top-of-funnel traffic to really thrive in that category.
Justin T. Patterson - Raymond James & Associates, Inc.: Got it. Thanks.
Operator: Thank you. The next question is from Mark May of Citi. Your line is open.
Mark A. May - Citigroup Global Markets, Inc.: Thank you. I wanted to revisit the EBITDA outlook and the potential advertising campaign. It appears as though your EBITDA outlook may already include a step-up in advertising spend this year, although that's obviously difficult to ascertain. But to what extent are you already modeling in kind of a step-up in advertising already and an increase in your ad expense ratio in your guide? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: Yes. Thanks, Mark. This is Ernst. In our current plan, we are modeling a significant step-up in paid marketing. It is in the performance-based category, so very similar to what we have been spending throughout 2016 and its online marketing. We're carving out specifically a considered longer-term TV or other brand marketing campaign, because we think the profile of that is somewhat different. And the profile is different in a sense of the objectives that we have with it, which is much more around positioning us as a brand and moving user perception as well as creating new traffic. And it will have, in all likelihood, a slightly different financial profile with a longer-term payback period than performance-based market.
Mark A. May - Citigroup Global Markets, Inc.: Sure. That makes sense.
Ernst J. Teunissen - TripAdvisor, Inc.: That's why we differentiate between the two. So, the forward-looking statement that we have given about our EBITDA for 2017, flat to down year-on-year incorporates the significant step-up of performance-based marketing. It does not incorporate the brand investment under consideration and that will be separate and then additional as we pointed out in our prepared remarks.
Mark A. May - Citigroup Global Markets, Inc.: And just to frame – help us kind of frame the thinking around the potential brand spend, historically, when you've done this what was sort of your annualized marketing budget for brand in TV? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: Historically, if I go back all the way to 2013, it was about 30; 2014 was about 30; 2015 was roughly 50. Those were not consistent campaigns throughout the year. They were also not consistent globally, but that was the reference point and we are evaluating where we're going to go from here.
Mark A. May - Citigroup Global Markets, Inc.: And in terms of 2016, roughly how much you spent on brand in TV?
Ernst J. Teunissen - TripAdvisor, Inc.: In 2016, we were not on TV.
Mark A. May - Citigroup Global Markets, Inc.: Okay. Thanks a lot.
Operator: Thank you. The next question is from Chris Merwin of Barclays. Your line is open.
Christopher David Merwin - Barclays Capital, Inc.: Okay. Thank you. I just had a couple. So, could you talk a bit about how conversion has been trending for instant book? I think you – obviously you mentioned spending more on performance-based advertising in the U.S. So, I'm just curious how well you're converting that traffic and how much more improvement you need to see there to get margins moving up again? And then the second question is on the branded marketing campaign. I know a few years ago, you tried this and you didn't get the desired results at the time, although, obviously, it was much earlier days for instant book then. So, can you just talk a bit about what you're hoping to do differently this time around? Or is it just a function of the product being much further along in its development, so the TV buy should be more effective? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: In terms of conversion on instant booking, we referenced it as a response to an earlier question. We've seen a very good instant booking monetization improvement – conversion rate-improvement over the last year. We called out our U.S. instant book conversion rate, which improved 20% year-on-year, and we continued to make improvements there. So, we feel we're on the right path. The increased marketing expenditure has not undermined that trend, so we have seen good trends there. In terms of the comparison with previous campaigns, do you want to take that, Steve?
Stephen Kaufer - TripAdvisor, Inc.: Sure. So, I think we're probably aiming for something a little bit different now, where previous TV campaigns were focused on an actual booking event on TripAdvisor. We're really at this point with our online campaigns as well as anything that we would consider offline, focusing on the price comparison and letting TripAdvisor be the site that you're always coming back to when you're ready to book. I think we've made the point innumerable times, we have so much traffic, hotel shopping traffic, that's already up funnel, that's already discovering us, through indirect or through any of our channels, and love us for reviews. So, our opportunity to get those individuals to come back, let alone grow the market, remains a phenomenal needle mover for us, and that would certainly be a focus of any offline campaign should we run one.
Christopher David Merwin - Barclays Capital, Inc.: Okay. Thanks.
Operator: Thank you. The next question is from Paul Bieber of Credit Suisse. Your line is open.
Paul Bieber - Credit Suisse Securities (USA) LLC: Good morning. Thanks for taking my question. Steve, I was hoping you could provide a little bit of color about what the big product priorities are for instant book in 2017? And which one of the product priorities really has an opportunity to drive monetization?
Stephen Kaufer - TripAdvisor, Inc.: Sure. But I'll rephrase the question, because from my thinking it's not really an instant book product priority. It is a hotel shopping experience priority, and that spans all devices. We really want to make it as smooth as possible, as easy as possible, to find the best price, because we have a phenomenal price comparison engine that's pulling prices from 200+ sites all around the web. We have great relationships with hotel chains, with all the major online travel agencies in basically every market around the globe. So, how can we do a better job demonstrating to our travelers that we've done the hard work for you, we've found the best price, we're putting it in front of you, and when the TripAdvisor booking option happens to have the best price, and if you've already stored your credit card with TripAdvisor, super. Instant book makes for a very easy and smooth transaction, but it's fine if you go down the route of clicking off to a phenomenal partner like Expedia or Priceline. We still collect a referral fee, our monetization still improves, and so long as we can attract more top-of-funnel shoppers, turn those shoppers into higher intent bookers, because we've helped them decide that this is the right hotel for them, which is the content we have, plus the great price comparison, then we've done our job in the funnel, qualified somebody and sent them downstream. So, I think over the past six months, you've seen meaningful improvements in sort of the price transparency on the site. I think you'll continue to see over the next several quarters more of that, plus just a smoother shopping experience to delight our travelers.
Paul Bieber - Credit Suisse Securities (USA) LLC: Okay. Thank you.
Operator: Thank you. The next question is from Douglas Anmuth of JPMorgan. Your line is open.
Unknown Speaker: Good morning. This is Dave (27:56) in for Doug. Thank you for taking my question. First one, since you now have two big OTAs on the instant booking platform along with most of the large chains, could you talk about the IB participation dynamic among the suppliers? I think you mentioned auction, but if you could provide more color on how you determine who provides the booking, that would be helpful? And then on performance marketing, I assume that signals that IB is competitive versus other booking sites in those channels, so if you could provide more color on where you're using the performance marketing channels, and if that's globally, and if not, then when can we expect to see that being used globally? Thank you.
Stephen Kaufer - TripAdvisor, Inc.: Sure. So, the second part of the question, what performance channels are we using? We pretty much use them all. I think we're very strong in almost every global market in any sort of performance-marketing channels. If you know of one that you don't see us in, let me know, it's an oversight, not a strategic decision. Obviously, the big ones are search engines and social networks and if that platform has scale then we're using it. In terms of how we decide who's providing the instant booking; again, I caution you on that may be – that is a very important and valid question that our partners want to know, because they're eager to gain share in our instant booking marketplace, but the commission deltas or that selection isn't critical in our overall monetization. So, when we look at growing now throughout 2017 and beyond, you look at the overall picture of how we translate a top-of-funnel hotel shopper into that clicker, whether they click on instant book or meta. And so, it's more significant for us, for instance, to figure out how to drive higher-qualified leads by providing better content about hotels, better photos, et cetera, downstream to our OTA partners or the chain partners than see if we can eke out a few more basis points of commission via an auction. So, IB – to more specifically answer the question about the instant book auction, primary factor is which of our partners offers us the best price to book the room, because we know our travelers care most about the price, and so it's usually, who has the lowest price is going to win the auction. When you have a supplier brand plus an OTA brand offering the same price for a particular property, we have a calculation that attempts to understand the likely conversion rate between the branded player and the OTA times the commission rate, and that gets us an effective CPC. It's more nuanced than that, but for the sake of this call, that's the general game plan.
Unknown Speaker: Understand. Thank you.
Operator: Thank you. The next question is from Kevin Kopelman of Cowen & Co. Your line is open.
Kevin Kopelman - Cowen & Co. LLC: Hi. Thanks a lot. Can you give us a sense of how big instant book revenue is compared to metasearch revenue on the flagship site? And then just the relative growth rates there of IB versus meta, as we think about that double-digit growth rate for 2017. Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: Instant booking is a minority of our total auction revenues, so meta is still by far the larger revenue stream. We don't break out the exact percentages. It's a meaningful percentage as an IB, but it's a clear minority. And as we go forward and project next year, we don't break out any growth between meta and IB, but reasonable to believe that we expect progress in all.
Kevin Kopelman - Cowen & Co. LLC: Okay. Thanks, Ernst.
Operator: Thank you. The next question is from Brad Erickson of Pacific Crest. Your line is open.
Brad D. Erickson - Pacific Crest Securities: Thanks. Can you just talk about your platform in place – that you have in place from a test and learn perspective? I mean you're going up against obviously some pretty big competitors here in booking who have arguably state-of-the-art capabilities when it comes to improving conversion through test and learn. Where is your platform at competitively? And then how much does this forward EBITDA commentary reflect potentially higher spending around platform improvements? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Sure. We've been doing the AB testing, test and learn, all devices, all markets, for a long, long time. Testing the conversion as well as search engine optimization, landing pages, purchase funnels, the works. We know that really quite well and so I haven't seen the insight of other players, but I don't want to sound boastful, but I think we're probably pretty close to best-in-class in that category. When we look at the ability to test, it all comes down to the benefits of scale. And at our close to 400 million unique users a month, we just have an awful lot of traffic coming through the site and so that enables us to run tons and tons of tests. The increased – or as we go forward, to answer the question of do we need to invest more EBITDA into improving the platform? The answer is no. We're quite comfortable with the platform, and the marketing expense that we look at is really related to the ability to buy more performance-based traffic, because the site is monetizing better each quarter.
Brad D. Erickson - Pacific Crest Securities: Got it. Thanks.
Operator: Thank you. The next question is from Tom White of Macquarie. Your line is open.
Tom White - Macquarie Capital (USA), Inc.: Great. Thanks for taking my questions. As we think about lapping the bulk of the international rollout of IB, should we expect to sort of see a similar reacceleration in the click-based and transaction revenue growth that you guys are seeing in the U.S.? I think you said it was double-digits there in its first full quarter post the lap of the U.S. Are there structural reasons why the international reacceleration might be different? And then just on pricing in the meta auction, can you give us a sense of what's happening with pricing, CPC pricing in meta generally and your outlook there? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: Yes. We've seen – after lapping in the U.S., which was in August, we've seen very good growth in the U.S. And we've said we've seen double-digit growth; we've recently seen growth over 20% in the U.S. market. Now we are, this quarter, going to lap everywhere else and we do expect to see that – that to mean that we can improve the growth rates relative to 2016. We want to be careful, though, in just extrapolating what we saw in the U.S. to every other market outside of the U.S., every market is different. Our U.S. is our strongest market, and the lapping will show different results in different markets. So, although, we believe it will mean improvement, we want to be sort of conservative in our outlook, if it's going to be close to the U.S. or not. The U.S. will, in all likelihood throughout the year lead all these other markets in terms of revenue growth. In terms of CPCs, we don't give any particular guidance on where we see CPCs go. CPCs are volatile throughout the year, it's the output of an auction, not an input of our pricing decision and therefore fluctuates over time. It all comes together in a revenue per shopper for us, which is a metric that we look at much more closely, but we don't give specific guidance to either CPC or revenue per shopper. We have a number of initiatives in place to drive a better user experience, improve our conversion rates. That when successful should help us get better CPCs and better revenue per shopper, but we don't give any particular guidance to it.
Tom White - Macquarie Capital (USA), Inc.: Okay. Thank you.
Operator: Thank you. The next question is from Peter Stabler of Wells Fargo Securities. Your line is open.
Peter C. Stabler - Wells Fargo Securities LLC: Good morning. Two if I may. Thank you. First of all, could you give us a little color around the new hotel sort algorithm that you mentioned in your letter? And then secondly, on the revenue per hotel shopper trend that you've put in the letter as well, has it turned positive in the U.S.? Thanks so much.
Stephen Kaufer - TripAdvisor, Inc.: I'll take the first question. On the new hotel sort, you'll see currently – and we played around with this for many years, the notion that a raw ratings list is not necessarily what the consumers want. Several years ago, we had a 'Just For You' personalized list, where we're trying to give you, you the customer, a better view in to which hotels are going to be right for you in a particular city. We've rolled out in some of our markets on some of the platforms a new hotel sort that really takes price into account, so that we're less likely to be showing you by default, to take an extreme case, $1,000 a-night hotels at the top of a city when the vast, vast majority of our audience could never be interested in that. So again, the sort is aimed at improving the hotel shopping experience in the subcategory of helping you, the traveler, find the best hotel at the best price. We remain true to our kind of unbiased – we want to only be giving you great hotels, recommending to you great hotels, but we have to make sure that they are affordable to the person that's doing the shopping.
Ernst J. Teunissen - TripAdvisor, Inc.: And indeed, revenue per shopper growth in the fourth quarter was positive in the U.S. It was still improving, but still negative year-on-year globally. But, it was positive in the U.S.
Peter C. Stabler - Wells Fargo Securities LLC: Thanks, Ernst.
Operator: Thank you. The next question is from Jed Kelly of Oppenheimer. Your line is open.
Jed Kelly - Oppenheimer & Co., Inc.: Great. Thanks for taking my question. If you choose to execute a brand campaign, would you plan to advertise around any of your non-hotel products, or would the vast majority be dedicated to the hotel shopper experience?
Stephen Kaufer - TripAdvisor, Inc.: Hi, this is Steve. Thanks, Jed, for the question. It's a good one. We have such a breadth of audience, such breadth of product, we can offer so much in the full trip. But, we clearly view our challenge over the next year or two to focus in on the TripAdvisor as a great place to compare prices and book. So, you might see another one of our businesses do some independent TV campaigns. If you're in Italy, you might see a TV ad for TheFork, our restaurant app. So, I'm not saying it would be the only one, but when we talk about materiality and when we talk about considering a brand campaign, it's certainly just going to be around the core hotel shopping experience.
Jed Kelly - Oppenheimer & Co., Inc.: Thank you.
Operator: Thank you. The next question is from James Lee of CLSA. Your line is open.
James Lee - CLSA Americas LLC: Great. Thanks for taking my questions. Can you help us understand how should we think about the monetization closing the gap between IB and meta in international markets? In the U.S., I think you closed the gap in four quarters. So, how should we think about international market, especially if we take into context that the region is a lot more fragmented? And second question on IB is, I'm just curious why you're able to close the gap on PC, but not on mobile specifically. Why would mobile be more difficult in terms of closing the gap? Because I thought the original intention of creating IB was you want to close the loop on mobile on meta specifically? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: I think the first important point to point out is we're not necessarily looking at IB monetization versus meta. What we're looking for is getting our total conversion on the site up and getting our total monetization for our shoppers up. And what that means in practice is that we have an IB product, we have a meta product. Dependent on the particular search of the shopper, we will see price as an important driver of it. Do we have the best price in IB? It's more likely that would put IB in front. Do we have the best price in meta? More likely that we put the meta option in front. So, we will privilege IB versus meta dependent on a number of factors. So, it's not necessarily just a side-by-side and one compares such and one compares the other. And so we are much more focused on the overall. Having said that, as we said, we've improved IB over time, especially in the U.S., likely to keep improving it outside, not necessarily at the same pace, and we will see that the same on the phone. But it's not our primary focus. Our primary focus is making sure the overall shopper experience creates the most bookings at the best possible price for us.
James Lee - CLSA Americas LLC: Thank you. And just elaborate international timing or international in terms of reaching the parity or monetization between IB and meta versus U.S. market. Help us understand the timing a little bit. Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: U.S., clearly ahead. We rolled out earlier, lapped earlier. We're lapping in Europe this quarter. We'll have more to say when we see more of those results, but we expect to continue to – outside of the U.S. to lag U.S. performance.
James Lee - CLSA Americas LLC: Great. Thanks.
Operator: Thank you. The next question is from Dan Wasiolek of Morningstar. Your line is open.
Dan Wasiolek - Morningstar, Inc. (Research): Good morning, guys. Thanks for taking the question. Just on the non-hotel side, I know you called out FX as a headwind in 2016. But just trying to gauge the growth rate of this segment in 2017 and kind of noting on a two-year stacked trend how it's slowed some in the last six months of 2016. Just wondering, if there is, I guess anything else besides FX that maybe was a headwind, model transition, et cetera, at the end of 2016 to help me model – or help us model for 2017? Thank you.
Ernst J. Teunissen - TripAdvisor, Inc.: So, our non-hotel growth was solid in the fourth quarter, 31% year-on-year. Our full-year growth in non-hotel was very solid too. So, we're very pleased with the progress we're continuing to make on revenue growth as well as on the underlying availability of product and we don't give specific guidance for our non-hotel segment growth rate, but we're pleased where things are and we expect solid growth from the non-hotel segment going forward.
Dan Wasiolek - Morningstar, Inc. (Research): Okay. Thanks. And just quickly one more, if I could. Sales and the marketing expense, as we look into 2018, maybe it's a little bit early, but do you think that the levels of sales and marketing as a percent of revenue in 2018 would be above 2016 levels? Thank you.
Ernst J. Teunissen - TripAdvisor, Inc.: 2017?
Dan Wasiolek - Morningstar, Inc. (Research): For 2018, if the sales and marketing expense as a percent of revenue in that year would be above the levels that we saw in 2016, just kind of taking a little bit of a forward look out. Maybe it's a little bit early. But just wondering, if any thoughts on the lift here in sales and marketing, whether or not that's going to be sustained to some degree beyond the investment you're taking in 2017?
Ernst J. Teunissen - TripAdvisor, Inc.: I think it is a bit too early to talk about 2018, we're early 2017.
Dan Wasiolek - Morningstar, Inc. (Research): Very good. Thank you.
Operator: Thank you. The next question is from Brian Fitzgerald of Jefferies. Your line is open.
Stan Velikov - Jefferies LLC: Good morning. This is Stan Velikov for Brian. Thanks for taking my question. Outside of the impact of instant booking rollout, were there any other important factors that impacted growth across international geographies?
Stephen Kaufer - TripAdvisor, Inc.: The instant booking rollout was important. We've also called out that we're operating in a competitive environment and our competition has not been standing still. As a result of the instant booking rollout and the revenue per shopper pressure we saw as a result of that, we have not been able to grow our performance-based marketing line as much as some other players in the industry have, and so we have continued to operate in that environment, which has contributed to our 2016 performance.
Stan Velikov - Jefferies LLC: Okay. Great. Thank you.
Operator: Thank you. There are no further questions in the queue. I'll turn the call back over to Steve Kaufer for closing remarks.
Stephen Kaufer - TripAdvisor, Inc.: Okay. Well, thanks, everyone, for joining the call. I really want to thank our employees around the globe for their hard work in 2016. We made a lot of good progress and have put ourselves in a great position. We thank our investors for their continued support and we look forward to updating everyone on our progress next quarter. Thanks.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may now disconnect. Good day.